Operator: Good morning, ladies and gentlemen. My name is Kelly, and I will be the host operator on this call. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions] Please note that this call is being recorded as of today Tuesday, October 25, at 8:00 AM Central Time. I would now like to turn the meeting over to your host for today’s call, Mr. Aaron Hoffman, Vice President of Investor Relations at TransUnion. Please go ahead.
Aaron Hoffman: Good morning, everyone, and thank you for joining us today. This morning I’m joined by Jim Peck; President and Chief Executive Officer; and Al Hamood, Executive Vice President and Chief Financial Officer. We posted our earnings release on the TransUnion Investor Relations website at www.transunion.com/tru. Our Form 10-Q for the third quarter 2016 will be available later today. Our earnings release includes schedules, which contain more detailed information about revenue, operating expenses and other items, including certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures are also included in these schedules. As a reminder, today’s call will be recorded, and a replay will be available on the TransUnion website. As we discuss results today, all growth comparisons relate to the comparable quarter of last year, unless otherwise specified. We will also be making statements during this call that are forward looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today’s earnings press release in the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q, and other reports and filings with the Security and Exchange Commission. We do not undertake any duty to update any forward-looking statements. With all that, let me turn it over to Jim.
James Peck: Thanks, Aaron, and good morning to everyone, joining us on the call and webcast today. I’ll spend sometime discussing the quarter and then I will turn the call over Al, who will walk you through some financial details. I’ll also wrap up with our guidance before we take your questions. I’m pleased to report that TransUnion delivered another very strong quarter of revenue and adjusted EBITDA growth, building on an excellent first half, and setting us up for an outstanding full-year and allowing us to again raise guidance for 2016. Putting these results in the broader context of our strategy we are realizing the benefits of our technology investments, focus on innovation, diversification in the fast growing verticals like healthcare as well as the significant emphasis we placed on developing our international footprint. We continue to leverage our core capabilities of content, technology and analytics against new growth opportunities that make TransUnion a critically important information solutions provider to both consumers and businesses across a broad array of end markets. Today, TransUnion is a stronger more diversified Company that is nicely positioned to deliver a long-term future growth. And most importantly, we are seeing our strategy translate into a very strong financial performance. In the quarter, revenue and adjusted EBITDA rose 12% and 19% respectively. That reflects the significant leverage we see in our business and translates to 210 basis points of adjusted EBITDA margin expansion in line with our full-year expectations. Adjusted earnings per share was up 23% to $0.38. As we've noted in previous quarters, the revenue growth is driven by higher growth verticals, emerging markets and new product growth initiatives as well as strong performance from our core business. Moving on to our quarterly results and starting with our largest segment, USIS revenue increased 14%, driven primarily by a robust growth in financial services, healthcare and rental screening. Adjusted operating income increased 10% as revenue growth flows through the income and as we continue to incrementally invest in more strategic initiatives that will continue to drive long-term growth. Last quarter, we told you that our next generation technology platform was effectively complete. I am happy to report that we have literally pulled the plug on our legacy mainframes and the project is now entirely done. The new platform has helped improve margins and is a critical enabler for our pipeline of new product growth initiatives like Prama, alternative data, fraud as well as CreditVision. We've talked with you for some time now about our trended credit data offering CreditVision. Fundamentally, trended data provides lenders with a significantly better view of a customer's credit history. Instead of looking at a single point in time as traditional credit reports due, CreditVision looks at 30 months of credit history and incorporates additional data to offer more holistic and accurate look at a consumer credit. Lenders have found this to be a powerful tool not only producing a more accurate predictive credit score, but also for expanding their pool of potential borrowers. CreditVision is driving growth now and should continue to do so for years to come as we roll it out globally to mortgage auto, credit card and other consumer lending customers. In USIS this quarter, we saw a substantial lift as we began pricing CreditVision to our mortgage reseller customers in line with Fannie Mae's requirement that lenders utilize trended data for underwriting. We were first to market with trended data and have a longer credit history associated with our product in competitive offerings. We have leveraged our first mover advantage globally to drive growth and gain share. CreditVision isn't the whole story of trended data, it's just beginning. Last year, we launched CreditVision Link which combines trended credit data with alternative data to provide a more robust credit score in history for thin file and no file borrowers. This is valuable to our customers as they seek to broaden their customer base. And just like CreditVision, we were first to market with this value added solution, reflecting our focus on continuous innovation and our ability to rapidly deliver to our customers. Before we leave you assize, I also want to touch on a couple of strategic bolt-on acquisitions in our healthcare vertical which turned in another outstanding quarter. In the second quarter, we acquired Auditz which is a sophisticated proprietary technology to help healthcare providers identify and recover payments, a complementary capability for our existing business that serves the back end of the revenue cycle management market. Through this acquisition, we gained new algorithms for identifying insurance coverage. We've already seen cross selling wins and new customer gains in the short time we don't Auditz. In September, we acquired Rtech which further build our capability for insurance coverage discovery helps us improve our yield for our customers on the backend of the revenue cycle management and provides a strong foothold in the academic medical center market. Both transactions bring new customers, technology and data assets, strengthening our leading position in a very attractive fast growing market. Moving on to our International segment, revenue grew 20% on an as reported basis and 22% in constant currency. We saw good balance of growth between developed and emerging markets with constant currency revenue growth of 17% and 25%, respectively. The growth was broad-based across our global footprint highlighted by a strong performance in Canada, India and Latin America. Adjusted operating income grew 46% as reported and 48% in constant currency. International margins continue to expand rapidly from the very strong topline growth and as we leveraged the productivity initiatives we put in place last year to address our cost structure and drive operating efficiencies. In the third quarter, adjusted operating margin and constant currency increased 580 basis points to 32.8%. This comes on the yields of 280 basis point and 590 basis point increases in the first and second quarters respectively. The margin improvements should be sustainable for 2016 and we see further upside over time as we leverage new technology and products on a global basis. On past calls we’ve talked about some examples of specific countries that are doing very well like Canada, India and Colombia. Today given the performance of the International segment and a very bullish outlook for the business in the near and long-term, I want to spend a few minutes reviewing our strategy and global positions. Our International segment is a critical component of TransUnion’s long-term growth strategy. The segment continues to deliver robust double-digit constant currency revenue growth with margin expansion driven by a balance global footprint of both emerging and developed markets. Let me start with emerging markets, where credit is generally in its infancy representing an outstanding growth opportunity in the near and long-term. As these economies evolve and mature, we see a strong push toward financial inclusion in serving and expanding middle class. We are well-positioned to provide the right products and services as these markets evolve and credit reports to fraud monitoring to analytic products like Prama and we are able to expand into attractive verticals like insurance. Our emerging market exposure has grown significantly in recent years as we’ve continue to make meaningful and focused investments in emerging markets like India, Colombia, Brazil, Asia-Pac and Latin America. In fact over the past five years, our emerging market revenue has roughly tripled on a constant currency basis. To focus investment in emerging markets, we have built a number one positions in India and South Africa as well as leading positions throughout Asia-Pacific and Latin America. Our recent entry into Colombia with the purchase of CIFIN and number two player allows us to grow with one of the more robust emerging economies in the world. During the third quarter, we also increased our ownership stake in CIBIL in India from 77% to 82% giving us another board seat and further solidifying our commitment to this dynamic high growth emerging markets. We also have outstanding businesses in developed markets that have delivered very strong growth. We operate in two markets outside of the U.S., Hong Kong, but we're the only Bureau and hold a number one position, in Canada, where we are number two and quickly gaining share. In both emerging and developed markets, we are executing a strategy built on our successful U.S. business. That provides us with significant opportunities to deepen our penetration and gain share by globally leveraging enterprise solutions such as CreditVision, fraud, ID and decisioning as well as our effective sales force. In Canada, CreditVision and our refocus sales force contributed to the 20% plus constant currency revenue growth we delivered every quarter this year, including nice share gains at some of the large financial institutions. This growth playbook is transferable to other markets and we're now in the process of rolling our CreditVision in South Africa, India and Colombia. And over time, we are confident that our new innovative analytics platform Prama will provide the same revolutionary customer driven insights internationally that we are seeing during its U.S. rollout. Another driver of international growth will be the expansion into new vertical such as insurance. We already have a strong position serving auto insurance carriers in Canada, South Africa and Brazil and we will continue to drive growth in these markets through new innovative solutions leveraging our existing capabilities as well as with the introduction of insurance offerings to other countries. Finally, we continue to build our direct-to-consumer business in Canada, Hong Kong, India, Colombia and South Africa, leveraging our expertise and innovative solutions to drive further growth in each of these markets. Taking together, the story of our International segment isn’t so much about each individual country. So we have outstanding positions and very favorable market trends in many of them. The story is about our ability to layer high growth opportunities on to our existing positions to drive very strong growth over the long-term. And given the more efficient organizational structure we’ve implemented, we expect that the rapid growth will flow to the bottom line and help drive further margin expansion. Turning to Consumer Interactive, revenue grew 2% behind continued solid growth in the direct channel offset by an expected modest decline in the indirect business as we discussed on our last call. Adjusted operating income was up 11% and adjusted operating margin expanded by 370 basis points as product mix improved with the loss of some relatively low margin business. Last quarter, we provided you with some context for the anticipated slowdown in Consumer Interactive growth, namely a decrease in revenue associated with one of our indirect channel partners that was acquired by a competitor and our new long-term agreement with Credit Karma that extends and build on our already strong relationship. During the quarter, we signed a number of new strategic partnerships and had significant business wins in our indirect channel including traditional financial institutions and online channel partners. Across the board, we continue to see meaningful opportunities to help our customers to provide enhanced services at credit monitoring, IT protection and educational tools for consumers who are more engaged than ever. New business wins and strategic partnerships like these gave us confidence in our 2017 outlook and the longer-term health of the business. In summary, we are very pleased with our continued strong results. We saw positive financial performance and meaningful marketplace wins in every segment, while we continue to invest for the long-term with an increase in our ownership stake in India and the acquisition of Rtech and Healthcare. With one quarter to go in 2016, we were able to again raise our guidance. We remained confident that we will deliver another outstanding year. And just as importantly, we have positioned the Company for strong performance in 2017 and beyond. Now, I'll turn the time over to Al to walk you through the financials. Al?
Samuel Hamood: Thank you, Jim and good morning. Today, I’m going to walk you through our consolidated results and segment results through adjusted operating income. Then I will finish up with a review of the balance sheet and cash flow statement. Third quarter consolidating revenue was $438 million, an increase of 12% or 13% on a constant currency basis, compared with the third quarter of 2015. Revenue from acquisitions contributed about two points of growth in the quarter. Adjusted EBITDA was $167 million, an increase of 19% on a reported and constant currency basis, compared with the third quarter 2015. Adjusted EBITDA margin was 38.1%, an increase of 210 basis points compared with the third quarter of 2015. Adjusted diluted earnings per share was $0.38, an increase of 23% compared with the third quarter of 2015. Now, let me walk you through the details of our P&L. As I just mentioned, consolidated revenue increased 12% or 13% on a constant currency basis. Cost of services was $141 million, an increase of 5%, compared with the third quarter of 2015 due to increased product costs resulting from the increase in revenue, continued investments in key strategic growth and productivity initiatives and increased operating expense related to recent acquisitions. This was offset by savings enabled by our technology transformation and other productivity initiatives as well as a decrease in product cost in our Consumer Interactive segment. SG&A was $137 million, an increase of 12%, driven primarily in investments and strategic growth initiatives; additional headcount to support these activities, increased operating expense related to recent acquisitions and increased variable compensation related to the strong performance of the business and advertising. Finally, depreciation and amortization was $63 million, a decrease of 12% compared with the third quarter 2015. The decrease was due primarily to the discontinued use of internally developed software and computer hardware assets in conjunction with the Project Spark and the completion of Project Spark. D&A not related to the 2012 change in control transactions and subsequent acquisitions was approximately $29 million for the quarter, compared with $28 million in the prior year. Adjusted operating income was $138 million, an increase of 22% compared with the third quarter of 2015, driven primarily by the increase in revenue. Now, looking at the segment revenue and adjusted operating income. USIS revenue was $273 million, up 14% compared with the third quarter of 2015, driven by strong growth across all platforms, starting with online data services, revenue was $178 million, an increase of 15%, driven primarily by our new product growth initiatives including CreditVision. Marketing services revenue was $41 million, an increase of 5%, due primarily to increased batch activity and decision services revenue was $54 million, an increase of 19%, due primarily to revenue growth in the healthcare and insurance markets. Adjusted operating income for USIS was $90 million, an increase of 10% compared with the third quarter of 2015, due primarily to the increase in revenue and savings enabled by our technology transformation, partially offset by increased product costs, resulting from the increased revenue, investments in strategic growth initiatives, increased operating expenses related to recent acquisitions and increased variable compensation due to the strong performance of the business. International revenue was $82 million, an increase of 20% or 22% on a constant currency basis, compared with the third quarter of 2015. Revenue from recent acquisitions contributed approximately 11 points of growth in the quarter for international. Developed markets revenue was $29 million, an increase of 17% both on a reported and constant currency basis. Emerging markets revenue was $53 million, an increase of 21% or 25% on a constant currency basis. Revenue from recent acquisitions contributed to approximately 17 points of this growth. Adjusted operating income for international was $27 million, an increase of 46% compared with the third quarter of 2015. On a constant currency basis, adjusted operating income increased 48%, driven by increase in revenue, along with savings enabled by productivity initiatives, partially offset by increased operating expense related to recent acquisitions, an increase variable compensation due to the strong performance of the business. This resulted in a 580 basis point margin expansion on a constant currency basis in the quarter. Consumer Interactive revenue was $97 million, an increase of 2% compared with the third quarter 2015. These results are well aligned with our expectation and what we communicated on our last call. As previously discussed we expected revenue in our Consumer Interactive segment to be flat to slightly down in the second half of the year due primarily to moderated growth related to our new long-term contract with Credit Karma and a decrease in revenue associated with one of our indirect channel partners that was acquired by a competitor. Along with a particularly tough comp in the fourth quarter due in part to one-time revenue in the fourth quarter of 2015 related to third-party data breach. Adjusted operating income for Consumer Interactive was $42 million an increase of 11% compared with the third quarter of 2015. Given the lower margin profile of the revenue that came off related to the acquisition of one of our indirect channel partners by a competitor. We saw adjusted operating income actually grow and adjusted operating margin expand 370 basis points in the quarter. Now moving on to the balance sheet. Cash and cash equivalents were $138 million at September 30, 2016 and $133 million at December 31, 2015. Total debt, including the current portion of long-term debt, increased to $2.4 billion at September 30, 2016 compared with $2.2 billion at December 31, 2015, primarily due to the financing of the acquisition of CIFIN. As of September 30, 2016, we had access to all of the $210 million revolving credit facility. Our net leverage as of September 30, 2016 was approximately 3.7 X, down from 3.9 X at the end of the second quarter 2016 and in line with our expectation that based on our current guidance we will be at approximately 3.5 X by year-end. As we talked about we’ll continue to take a balanced approach to capital allocation focusing on organic investments as well as strategic in organic opportunities, while always diligently considering deleveraging. In the quarter as Jim mentioned we acquired Auditz to further build out our healthcare portfolio strengthening our leadership position in a very attractive high growth market. We also picked up another 5% of CIBIL in India. Our M&A machine is working and we're driving meaningful long-term growth with acquisitions and highly attractive markets and verticals. Moving on to the statement of cash flows. For the nine months ended September 30, 2016, cash provided by operating activities was $276 million compared with $206 million for the same period in 2015, due primarily to the increase in operating performance, along with a decrease in cash interest expense. Cash used in investing activities was $442 million, compared with $118 million for the same period in 2015, due primarily to an increase in cash used for acquisitions. Capital expenditures were $86 million compared with $96 million for the same period in 2015. Cash provided by financing activities was $168 million compared with a use of cash of $33 million for the same period in 2015, due primarily for additional borrowings in 2016 to finance acquisitions. That concludes my review of our third quarter financial results. I will now turn the call back to Jim.
James Peck: Thanks, Al. As I layout our guidance, a couple of quick points about our assumptions for acquisition and FX impact, acquisitions should add two points of revenue growth to the full-year and three points to the fourth quarter. We expect FX to negatively impact revenue and adjusted EBITDA by one point for the full-year and to have essentially no impact in the fourth quarter. Now turning to our guidance for the full-year 2016, given the strong third quarter performance, we are increasing our outlook for 2016 revenue, adjusted EBITDA, and adjusted EPS. We expect our revenue to come in between $1.690 billion and $1.695 billion, an increase over last year of 12% on an as reported basis and up 13% on a constant currency basis. Adjusted EBITDA for the year is expected to be between $625 million and $627 million, an increase over the last year of 19% on a reported basis, and 20% on a constant currency basis. This results in expected adjusted EBITDA margin of approximately 37%, roughly 200 basis point increase over 2015, as we continue to reinvest in our business. Adjusted diluted earnings per share for the year are expected to be between $1.42 and $1.43 or 30% to 31% growth. And for the fourth quarter of 2016, we expect the following. Revenue should come in between $421 million and $426 million, an increase of approximately 9% to 10% on an as reported basis and constant currency basis. Adjusted EBITDA is expected to be between $157.5 million and $159.5 million, an increase of approximately 15% to 16% on an as reported basis and constant currency basis. Adjusted diluted earnings per share are expected to be between $0.34 and $0.35, an increase of 11% to 15% compared with the fourth quarter of 2015. To wrap it up TransUnion continues to deliver outstanding broad-based top and bottom line financial results. This was the case in each of the previous quarters this year. This performance allowed us to raise guidance again reflecting the continuing strength and momentum in our business. And even as we are executing against our strategic growth plans, we are also investing for the future as we’ve discussed today. CreditVision is fully rolled out to our mortgage reseller customers and it’s making meaningful gains in many other end markets. Our International business continues to deliver very strong results and is well positioned to continue their performance in spite of some headwinds in Consumer Interactive. We delivered margin expansion and won some important new business. We increased our ownership stake in India and we made our second strategic bolt-on acquisition in our fast growing healthcare vertical. The strong execution and focused strategic investment positions us very well for the remainder of 2016 and into 2017 and beyond. Great. That concludes our prepared remarks this morning. For the Q&A, we ask you to limit your question to one plus a short follow-up, and now we will be glad to take those questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Manav Patnaik of Barclays. Your line is open.
Manav Patnaik: Thank you. Good morning, gentlemen. And thanks for the [indiscernible] by the way. So my first question is just on trended data. Just trying to see if you guys could help us size what the incremental lift, if there was any in this quarter from the Fannie Mae going official because I know you guys have talked about how you’ve been selling CreditVision already and that’s international and so forth. Just trying to understand how that blends into what we should think about in terms of the run rate going forward there?
James Peck: Yes. Good morning Manav. As we’ve talked about before CreditVision really came into the market significant in the mortgage market for two months of the quarter. And so it has had an impact on our results and we’ll continue to have an impact on our results going forward as - let’s say the resellers in the mortgage business integrate this into their systems. Probably important to point out is we still have a lot of runway ahead of us, I think I talked to your offerings last time and said we are kind of rounding first on CreditVision, but I’d say now we're starting to slide into second maybe and it's showing how meaningful it can be and it's doing that because we're also beginning getting to establish CreditVision in the other markets like credit card and auto with the FICO score that we created and we're also leveraging CreditVision internationally, which is what you can expect of us going forward not only with CreditVision, but with all of our growth initiatives. So we don't have a specific number to give you here, but it is having a significant impact not only in the CreditVision revenue itself, but it's also helping us establish or take market share because we have the first mover advantage because our product has 30 months of history which is more than the other folks and because we've actually made it work across all the different kinds of running vehicles the banks are using and because we're already leveraging internationally. So it's a significant driver of growth for us. And now and into 2017 and 2018 and beyond.
Manav Patnaik: Got it. And my follow-up somewhat related to that is I'm down here at Money2020 conference and yesterday at your - [they got] a good demo of the Prama and a bunch of other products you have out there, but just in terms of - say if you're calling CreditVision going into second innings I suppose, just trying to understand when we think about Prama and the other stuff in there, should that collectively be much larger than CreditVision and how - what sort of timeframe should we expect that rollout to contribute to your solid growth?
James Peck: Yes. So I guess to continue the analogy, the baseball analogy here. We have many other initiatives. You saw Prama, you may have saw digital marketing, we have our CreditVision Link product which is an alternative data play. In addition to that, we have a bunch of initiatives in insurance and you kind of keep going on in healthcare et cetera, et cetera. Many of those are, I guess we’d say taking together rounding first and so they are contributing significantly to our top and bottom line the way they've been built, but they will drive taking together substantial growth going forward. And the thing is with all of these when you have kind of so many, we don't know all the time which ones are going to be the biggest, but we do know that each of them is contributing now. And if you look at our overall portfolio and their performance in this quarter, you can see that many things must be hitting for us to continue to drive the strong double-digit growth.
Manav Patnaik: Got it. Thank you. I’ll get back in the queue.
James Peck: Okay. Thank you.
Operator: Your next question comes from Gary Bisbee of RBC Capital Markets. Your line is open.
Gary Bisbee: Hey guys, good morning. I guess a question for each of you Al and Jim, I'll start with you. Can you give us some more color on why the USIS margins were down so much year-over-year and how should we think about that trending going in the next few quarters?
James Peck: Yes. We don't give specific adjusted operating income margin guidance. Just a step back, overall EBITDA margins are going to go up 200 basis points from 2015 to 2016 for the enterprise. I would say specifically within USIS, you saw good topline growth coming through at approximately 14% and then you saw adjusted operating income growth to coming in at approximately 10%. Within that 10%, you've got a couple of things that will flip to accretive in the near-term one acquisition. So we're still integrating in some of our acquisitions in that particular business, but that's typical and traditional with how we generally will go do a deal and invest to make certain on those enterprises that we purchase are at our standards from a security data IT standpoint. And equally important during the quarter you had some one-time investments that are going to pay off in 2017. So I would say we took them now given in the overall performance of the business and the timing of those particular, what I call to be productivity related initially that you’ll see clear benefits coming in 2017. Last, but not least, given the strong performance of that particular business with 14% topline growth, we also had some variable comp that we took given the strong performance of the business. But I would say, those items collectively, none of which are truly sustainable are what impacted this quarter. We feel very good about the topline growth as we end the year for USIS and the bottom line impact and benefit as well.
Gary Bisbee: Okay, great. So the investment that you mentioned there, would that be safe to say when you said a quarter ago that you were going to use the opportunity of such strong upside to do some reinvestment that that’s what you’re referring to?
Samuel Hamood: Yes, I think the last couple quarters and I think Jim has been really clear on it is that, as we continue to perform and outperform our own guidance, as well as even when you look at Street Consensus, we are going to take the opportunity, if we see it, because we evaluated it every quarter both short-term and long-term opportunities to invest in topline and bottom line growth.
James Peck: Gary, our strategy here is to continue developing a pipeline of growth initiatives and continue to layer those things on the core and are already in market growth initiatives. So it’s a constant kind of way of life here. And so when we see those opportunities, especially given the over performance, we’re going to take them because I think it just increases our ability to stay at the top of the heap I guess of our peer group when it comes to topline growth and the investments we make in our operational efficiencies. For example, able to leverage our capabilities across verticals and across countries is allowing a lot of that topline growth to fall to the bottom line and that’s what’s helping to drive margin expansion.
Gary Bisbee: Great, thank you. And then the follow-up, Jim, you mentioned at the end of your remarks, just that all of the investments and things are going well, positioned for a strong 2017? Or can you give us any more color on how you’re thinking about next year? It would seem given all these positives in the baseball analogy you just gave that you’d likely be positioned to grow in excess of the long-term growth framework that you’ve talked about?
James Peck: First of all, with all the baseball analogies - I’m from Cleveland, so I’m also hoping for a good next couple weeks living in Chicago here. But, so look, based on what we see today, the U.S. consumer remains super engaged and consumer lending markets continue to benefit from that. So I’ll mention though we’re not overly reliant on any kind of consumer trends driving the business forward. So we haven’t assumed some type of substantial juice to the economy or anything super bad happening. We also see continued strength across our international markets, so virtually all of them are in a very good shape, especially in our emerging markets where there kind of regardless of the economy looking to expand their middleclass, looking to do financial inclusion. In addition to that, like you said rounding first, we have all these initiatives that our growth initiatives that are continuing to take hold and it’s allowing us to just simply close new business every month again, and again, and again. And in addition to that, it’s allowing us to take share. And then you can add in some of the acquisitions that we made to CIFIN, Auditz and Rtech. This makes us feel really good about 2017 both in terms of the topline and our ability to expand margins.
Gary Bisbee: Great. Thank you.
James Peck: Okay. Thank you.
Operator: Your next question comes from the line of Tim McHugh from William Blair & Company. Your line is open.
Timothy McHugh: Thanks. Just want to ask on the healthcare business, particularly I guess given the acquisitions. Can you give us any more sense of the size of that business at this point and kind of the organic growth in terms of what you’ve seen and maybe what you would hope to be able to grow that during the next few years?
James Peck: Sure. So I think I made a statement at a recent conference that the healthcare business is getting big enough that we’re going to have to report it. Separately, we don’t know exactly when that will be. So it is a meaningful part of our business. We believe in that space, in particularly the revenue cycle management, a portion of that space where we play in the front end, helping providers and consumers understand their coverage, their ability to pay, putting them on a payment plans to get out ahead of any potential issues. On the back end, where there’s still billions of unrecovered basically billings and these are associated in a large part by just people not understanding the kind of coverages they have and the providers not understanding that. So our two recent acquisitions have bolstered our position in that space they kind of follow what we told you are going to be our approach to acquisitions. They're either going to get us into new markets to sell our current capabilities or they're going to help us take new capabilities into our newer markets or current markets. This happens to both. Each of these have slightly different solutions that help us increase the yield for our current customers and they also got us into new spaces in particular Rtech got us into the Northeast region in the U.S. and in academic medical centers and Auditz got us into something called transferred DIG without getting too much into it. It just helps with the recovery costs associated with Medicare patient transfer, which is the big issue. Both of these acquisitions are going as planned if not ahead of plan. I think we expect good solid double-digit growth in this business going forward and we continue to see it as a place to both innovate with our new solutions that we put in place. Things like Prama will actually work in this space as well and also it’s an opportunity, opportunistic acquisitions that we know we can make work. So we're very bullish on this part of our business.
Timothy McHugh: Okay thanks. And then just on the consumer part of the business you talked pretty positively about the new business activity there. I guess have we rebase that business versus Q3 can we see sequentially from here growth in the revenue?
James Peck: What we told on last call and I think we're reiterating on this call. Is that the Consumer Interactive business is moderating its growth primarily three reasons. One is a decrease in revenue associated with the loss of an indirect channel partner that was acquired by a competitor and this revenue by the way is relatively low margin. We very purposely signed a new long-term agreement with Credit Karma that I think all of you should be and would be happy with to secure a very large long-term revenue stream and strategic partnership with them, but it does moderate the revenue. And we've had tremendous growth in 2015 particularly in the fourth quarter those associated with the data breach. All that taken together we believe for the last half of this year, first half of next year. We're going to have very moderated growth. As we proceed into the second half of 2017 we think you'll see that growth get more into the you know mid-to-high single-digit and this is associated with you know continuing to do what we do with our current partners but also with some new business closes that we've had that will get implemented and start ramping and these will all be very good margin businesses. So I think you'll also see our margins expand in this business as well next year. So we feel good about the business going forward.
Timothy McHugh: Great thank you.
James Peck: Thank you.
Operator: Your next question comes from the line of David Togut of Evercore. Your line is open.
David Togut: Thank you. Good morning.
James Peck: Good morning.
David Togut: The corporate expense was down 13% year-over-year and was well below our expectation which was nice to see. As you completed your technology refresh is just new level of corporate expense in the $23 million to $24 million range sustainable?
Samuel Hamood: I think that it is going to be sustainable I think you had some little bit more than year-over-year decline slightly because of some of the one investments we made last year during the quarter, but yes I think as you look at corporate and corporate expense. It is going to become more sustainable at this level and some of these investments we made leave our system and start to generate returns.
David Togut: Thanks. And just as a quick follow-up. Jim you highlighted some of the advantages you have in CreditVision first mover advantage 30 months of history? Do you think you have a sustainably better product than your competitors because both your main competitors obviously are investing aggressively in this area as well? Is this mostly a time advantage or do you think you could demonstrate you have a superior products.
James Peck: Yes, sure. So as again I’m repeating myself from previous calls. We welcomed our competitors getting into the space. One reason it helps this become the standard for the industry when you see that happening with Fannie Mae. I think it’s pretty clear that we were the innovators in this area. This is a product that takes a good significant amount of time to get to a place where you can really integrated into your customer’s workflow, not only in the mortgage space, but also in all the other lending vehicles and I think you’re seeing us already do that. It also becomes much more powerful, if you integrate it with other things like alternative data and we have CreditVision Link in the market already. My view though, however on innovation is that you have to keep at it constantly and that’s why you’re seeing other things come into play for us like Prama, like our digital marketing play and other things that we’re doing in fraud. So for now anyway I do see us being able to sustain our advantage here. If you look at the way we’ve been able to take share in Canada that’s largely - that’s a market you can kind of go look at it as a microcosm. The reason we’ve been able to do that as we’ve introduced CreditVision into that space, now people are - customers are using it and with it gain market share. We really don’t aren’t facing any competition for CreditVision there. I think that’s just an example I guess gives proof to the fact that we are not just putting this into the market, but we’ve learned and we’re able to continue adding functionality to it - to have a sustainable advantage. But I think anyone would be getting you, if they didn’t say you have to keep at it, which is what we’re doing and we’re continuing to invest. I guess I’ll take this opportunity to bring out the Spark project, which is our whole new infrastructure platform, and we call shape layered on it, which is our whole analytics, core infrastructure and then Prama sits on top of that that is done. We are now moving it into all the different countries where it makes most sense to move it into, most people don’t really get there. I’ve been read that only 5% of companies do this, but they actually pull the plugs on their mainframes, we’ve done that on their - out of our system. And this is all enabling us to not only have ideas for innovation, but have the backup of technology to be able to do it. So I feel really good about our ability to not just in CreditVision, but overall kind of be again at the top of the heap on innovation and then being able to monetize that innovation.
David Togut: Understood. Congrats on the strong results.
James Peck: Thank you.
Samuel Hamood: Thanks, David.
Operator: Your next question comes from the line of David Chu from Bank of America Merrill Lynch. Your line is open.
David Chu: Good morning, thank you. So for Online Data Services, is this fair to say the - most of the accelerating growth came from the Fannie Mae going live?
James Peck: I don’t think so. I think when you look at our overall revenue growth just broadly speaking across the board about 50% comes from our core business, this last quarter about 50% came from new initiatives that include CreditVision, but also include on a fraud products, include our newer - products in our insurance business like DHI. Also our Healthcare business overall, which includes again new solutions, but also some of the acquisition. So I would it’s about 50/50. Al, do you want to…?
Samuel Hamood: Yes, if you’re talking specifically within USIS, Online Data Services, is that correct?
David Chu: Yes.
Samuel Hamood: Yes. I would say if you look at the last three quarters and even going back to 2015 that’s been generally speaking in high single-digit possibly low teen grower. This quarter you got a little bit of a pop, above and beyond that. That pop is probably - proportionally a little bit attributable to CreditVision, so that’s where you see the uptick. But consistently that has been a nice growth for us and continues to be underlined by new products and innovation, one. Two, some really nice new wins, and three the macro market environment remaining buoyant.
David Chu: Okay. So if you look at like the core business there I am not these like new initiatives. Are we seeing steady growth? Is growth accelerating slightly? How would you speak to that?
Samuel Hamood: I would say it’s steady growth and I think we continue to see study growth in our core U.S. consumer and credit markets across the Board. We're not seeing any slowdown. We're not seeing any massive acceleration. It's nice steady growth. That's been quite honestly consistent for the last several quarters. And I think as Jim pointed out, as we look at 2017. Those are the trends that we see today and when we do plan and when we will provide guidance in 2017, we're not going to be making any bets on any significant accelerations or deceleration based on what we need today. We feel very, very good about that market from a core standpoint, but as Jim talked about probably equally if not more important the things that we can control about investments, new wins, continue to invest both to get top and bottom line growth for 2017 and beyond, we feel very, very good about as well.
David Chu: Great. That's very helpful. And just as a follow-up, so I think that plan is to take Project Spark internationally. How should we think about cost associated with that?
James Peck: Yes. Al, if you can keep me [upgrade here], but the capital guidance that we've given is something like 7% of revenue. So we are going to drop to that. So during Spark we’re well above that for the U.S. That's all factored into our guidance. Now what we're going to - what we're already doing frankly is all factored in. So you're not going to see some like big major new project associated with it, because the stuff is built. And now it's largely migrating to different specific applications go on in these different countries to the Spark platform which is a different job than actually building it from the ground up, which took a tremendous amount of investment and brainpower. I guess the other thing I'd mention is that the ratio of what we're spending on infrastructure now versus new stuff that drives new revenue growth has changed. We're able to spend significantly more dollars on new revenue, generating items that we have in the past because on Spark which is infrastructure going away and these mainframes are going away and they sucked a tremendous amount of capacity from us basically to keep the lights on versus driving new revenue growth. So that dynamic that we've talked about is really happening. And as we wound down Spark, we're allocating all these people either to international stuff or to new initiatives that are going to drive yet more growth. So this kind of recipe for growth is only getting better.
Samuel Hamood: Last point on that as it relates to Project Spark and the cost. If you just take a look when you have a chance with schedule three of your earnings release, you can see on the line item technology transformation, we had zero cost there this quarter as an adjustment to reconciling items. That's very consistent with what we’ve said in the last couple of years that we will complete it in Q2, 2016 and you'll see no longer any one-time cost associated with that which is reflected in our Q3 schedule three adjusted net income and adjusted earnings per share reconciliation. Any guidance we give is going to have international Spark contemplated in it and also - although we are rolling it out and continue to roll it out, we still expanded adjusted operating income margins internationally based on some of the productivity plays we put in place over the last year or so by nearly 500 basis in terms of adjusted operating income margin. So not only are we seeing nice benefits from past productivity place and continuing to invest in Spark, but we're still able to see that type of margin growth, so we feel very, very good about where we are today and where we're going while still being able to field investments like Spark internationally.
David Chu: Great. Thank you very much.
Samuel Hamood: Thank you.
Operator: Your next question comes from the line of Ato Garrett of Deutsche Bank. Your line is open.
Ato Garrett: Good morning and thanks for taking my question. Related to just what you're discussing with this rollout of Project Spark internationally and some of the productivity initiatives that you also have going there. The margin expansion has been great for the last two quarters you are coming in, my math well over 500 basis points. Just as you think about where margins might go for that segment as you're going forward. Do you think that the last two quarters are going to represent kind of like a high watermark or do you think this is kind of in line what we can - the way we could think about international margins?
Samuel Hamood: I think on - as it relates to any margins at this point in time in the way we talk about and look at, we don’t want to give specific margin guidance because we’re seeing like Jim’s talked about and I talked about, good opportunities to continue to invest. We’ll still increasing margin throughout the year as an example right. Adjusted EBITDA margin was up 200 basis points over the full year that’s what we’re guiding to. And last year, we talked about some of the investments we are making international and you’d see margin expansion, which is driving the 500 basis point margin expansion in the quarter. We do think there will be opportunity to continue to expand our margins, but at the rate, probably not going to see another 500 point increase next year. But clearly with some of the initiatives we have in place like Project Spark for example being worked on and rolled out in South Africa. You’ll see those costs disappear and productivity associated with that come in. That’s only an example of margin expansion and what we’re working on.
Ato Garrett: Okay, great. Just want another follow-up question on some of your - when you look at the business in terms of your growth initiatives that are away from the core business looking at the scale of your fraud products? Can you talk about just like where you are in terms of rolling that out and building it, if you can use - if you have another baseball analogy there that would be great?
James Peck: Yes. The way I characterize, I don’t think [indiscernible] good at baseball, but it’s kind of all coming together might be the one way to look at it. Again, it’s still early on in our penetration, but between trust I have and then some other things that we’re doing, we think we have a unique offering that not only lets us get into the kind of account origination portion of fraud, but also the transactional portion of fraud. And as you all know that’s not getting any better, so we look at it. It’s a substantial part of our business going forward. So if you saw that you would say wow, probably. And it also is driving substantial growth going forward and not only in the U.S., but also internationally.
Ato Garrett: Great, thank you.
James Peck: Thank you.
Operator: Your next question comes from the line of Toni Kaplan from Morgan Stanley. Your line is open.
Patrick Hoffmann: Good morning. This is Patrick Hoffmann in for Toni. I wanted to ask about Consumer Interactive margins, which expanded nicely in light of the anticipated top line deceleration. I know you mentioned that you shared some lower margin revenue this quarter, but can you help us understand the levers you have left to bring up margins further in that business as we look out into 2017 and beyond?
James Peck: Yes. I’ll let Al kind of comment more specifically. But we did shut that revenue, some of the deals we’ve closed on the indirect side are also very I guess we’ll call it a good margin. And so that helping contribute to the overall growth within our ability to expand market area as it always has been.
Patrick Hoffmann: Al, do you want to add more color?
James Peck: I mean it’s pretty much that simple.
Samuel Hamood: Yes, I think you’re going to get earnings growth next year, slightly ahead well of revenue growth that’s going to drive margin expansion and we’re going to continue to see that. The main drivers of margin expansion in that business are going to be continuing to drive indirect channel revenue with some of the new opportunities Jim’s talked about because that in a lot of times it’s a fixed cost and you’re putting revenue on top of that, that’s going to drive margin and margin expansion, as well as returns after we pass our payback period for our direct business, which too had shown pretty solid mid-to-high single-digit growth. Again and as we get into 2017, we’ll give more margin guidance, adjusted operating income margin guidance on this particular business. But for the quarter, as you pointed out nearly 400 basis point margin increase is pretty good while still continuing to advertise more on a year-over-year basis to drive direct channel growth in the future. Another example of where margins are expanding and we’re investing in the future such as incremental year-over-year advertising.
Patrick Hoffmann: Thanks. And I wanted to ask one follow-up on your M&A strategy now that you’re approaching your leverage targets by the end of the year. I’m wondering if acquiring additional alternative data assets is going to become more of a focus now that you’ve made a couple investments abroad and domestically in Healthcare.
James Peck: Yes, so just to remind everybody, our M&A strategy in which I told you before is to really look at our space and say what opportunities are to acquire companies allow us to really clearly penetrate our existing customer base more effectively. So these are more capabilities and then you look at another access and you say and what would allow us to get into new markets. And that's what we're going to continue to do and I think it clarified that and we thought a lot about it. We're going to stick pretty near to our knitting what do we mean by that. And we're really good at understanding and integrating solutions to having deal what’s helping consumers and helping businesses deal with consumers and back and forth. They won't see us likely getting into areas like energy or whatever we’ll be sticking to that the natural conclusion is and that would probably get into certain areas of healthcare and potentially more into areas where alternative data comes into play. Because I think you know I've talked about in other venues content still remains a very, very important part of anybody in our spaces and strategy. The analytics are important, technology is important with that content is equally if not more important. So you could see us making moves into it almost called alternative database as well. It would fit our strategy.
Patrick Hoffmann: Great. Thanks for taking my questions.
James Peck: Great. Thank you.
Operator: And your next question comes from the line of Bill Warmington from Wells Fargo. Your line is open.
William Warmington: Good morning, everyone. So I also had a question on the non-credit data side on TLO that's been one of your more visible brands there. It seems like there are a lot of potential applications there you know ID authentication; fraud prevention; legal compliance; debt collections just to name a few. So my question for you is where you're getting most traction there and how big a driver is it for current revenue growth?
James Peck: Yes. So we're the capabilities that provide broadly speaking. Let's call it investigative solutions or you could say fraud management solutions, but we've gained significant traction there in the investigative area both in and out of law enforcement. We've also gained significant traction in the third-party collection space. In particular, but it also just kind of runs across the Board of the different kinds of companies that have the regulatory looks a justification to use this kind of data. So we're seeing kind of broad-based growth and will continue I think to see that make a significant contribution as it finds its way into call first party collection space into the banking space and into virtually any you know retail or any other space. That's looking to provide ID, fraud identification. So it is as you know I came from that world previous job and I really felt strongly that a traditional Credit Bureau like TransUnion combined with a company like TLO that collects massive amounts and aggregates massive amounts, public records data and then fuses them together in different ways and then a Credit Bureau might provide a much broader ability to affect the whole customer footprint. All the way from ID, fraud identification to the very end where I think collections and investigative services and this is really again helps us across our whole business not just financial services. I didn't mention insurance which also big investigative component as well and even healthcare. So kind of a broad it's a very broad-based solution that fits well right next to our other let's call them credit based solution.
William Warmington: Thank you for that. And on a housekeeping question on the higher revenue guidance, how much is coming from the two acquisitions and - versus how much is coming from the strength in the core business?
Samuel Hamood: The guidance, you are getting a de minimis amount in the fourth quarter related to the healthcare acquisitions.
William Warmington: Got it. Thank you.
James Peck: Great. We’re going to take - I think with one more person online, we take one more question and wrap things up.
Operator: And our last call for today will come from the line of George Mihalos of Cowen. Your line is open.
George Mihalos: Great, thanks. Thanks for squeezing me in and congrats on the quarter guys. Just wanted to ask on the guidance for the fourth quarter, the $421 million and $426 million, it looks like a bit more of a seasonal decline than what we’ve seen 3Q to 4Q over the last couple of years. Is there anything aside from consumer being a little bit softer that we should be thinking about or was that just sort of the usual sort of TransUnion conservatism that we’ve seen?
Samuel Hamood: I won’t comment on the last point.
James Peck: Yes.
Samuel Hamood: But I will say, no there’s nothing other than like you pointed out consumer - that the consumer side. Like I said earlier, trends are very, very good in our business on our underlying business and as Jim’s talked about a lot on the last several calls, the growth initiatives that we’re executing on continue to perform slightly outperform our expectations.
James Peck: And as always continue even in the fourth quarter of this year to invest, things that we think will benefit us going forward the notion that we’re going to meet guidance.
George Mihalos: Okay, great. And just last question, Jim your conversations with our lenders, are there any verticals, any patches out there where you may be starting to see a little bit of weakness or a bit of a pause. I know people have talked in the past about for example auto, just anything that perhaps worries you in the lending landscape based on your conversations?
James Peck: Based on what, I guess I see - the actual results we see we don’t [have] good solid performance across all the lending vehicles and translated into and I guess what’s maybe important to TransUnion. We don’t - we haven’t for next year assume than I’ve said this before any significant upside or any massive downside to any of these. So we’re not overly reliant as we kind of project our confidence for 2017 on any of the things of course we can’t predict the future. What I will say is our - all of our initiatives and everything we’re doing here are really designed to help offset that cyclicality. Yes, we can be exposed to it, but it helps to offset it and I think will keep us in the upper right hand quadrant when it comes to growth both in terms of topline and bottom line.
George Mihalos: Great. Congrats again.
James Peck: Okay. Thank you.
Samuel Hamood: Thank you. Thanks, George.
James Peck: And that concludes our call today. I want to thank everybody for joining us. I wish you have a great day.
Samuel Hamood: Thank you, guys. Have a great day.
Operator: And this concludes today’s conference call. You may now disconnect.